Sioban Hickie: Good morning. My name is Sioban Hickie. I'm VP of IR, and I would like to welcome everyone to SunPower's Fourth Quarter earnings call. I will take a few -- I will review a few housekeeping items before turning the call over to our CEO, Dr. T.J. Rodgers. This call is being recorded, and a replay will be available within the Events Section of SunPower's Investor Relations website. Please note that today's presentation may contain projections and other forward-looking statements. These statements are subject to known and unknown risks and uncertainties that may cause actual results to differ from those expressed or implied in our statements. Also on today's call, we may discuss certain non-GAAP financial measures. A reconciliation of any differences between those non-GAAP financial measures and the most directly comparable GAAP financial measures are available within our press release. Lastly, we will hold a question-and-answer session after the end of formal remarks today. [Operator Instructions] I will now turn the call over to Dr. T.J. Rodgers, SunPower's Chairman and CEO.
Thurman Rodgers: Morning. We have some guests here today. First, we have John Berger, I'm going to introduce later. And we have 2 directors of SunPower, Dan McCranie and Will Anderson, both of whom I have slides to introduce. So let me get right into it. Our logo is the Helios airplane. It had 35,000 watts of SunPower solar cells on it back when it flew under its own power, takeoff 92,000 feet, an unbroken record. I'll relate to one more aspect of this airplane today, you notice this reflection here. That reflection means that the bottom side of this wing is clear plastic. So this wing, if you looked at it, you can look right through it and you see the struts and clear plastic on one side and solar panels on the other side, meaning all the light coming from down here can come in the bottom of the wing and add power. And that's what's called bifacial that is the cells accept energy from either side. I'll talk about that later. Dan McCranie, I introduced to you a very short introduction. He's been on 10 NASDAQ boards. That's what he did. Like after he left Cypress Semiconductor, who ran VP of Marketing and Sales. And he was the Chairman of both halves of Motorola when they split up into Freescale and on, and he was on the Cypress Board as well. He's also run [ SST ] Technology, which is the -- was the spin-out of Intel in nonvolatile memories. Will Anderson is on the far side. He's MIT, Stanford MBA credential guy. He's been on the SunPower Board since 2010, and he was actually the Founder and CEO of Complete Solar, the company which acquired SunPower in the SunPower name. Now he's on our Board. And he's a glutton for punishment. He's got another start-up called same-day solar, and he's learning how to do financing. So if that works out, that may be a way for us to get into that business, which we're not in right now. Okay. I showed you this slide before, and I'm showing you again because I think it's cool. This is a picture of the Helios flying at 80,000 feet. Curve of the earth clearly above the atmosphere unbridled sun coming right in. Of course, that means more energy. And I did a little engineering work since last time you saw this. At 80,000 feet, atmospheric pressure is down to 0.4 pounds per square inch from 14.7 psi at sea level. And okay, what does that mean? Well, here, obviously, it's -- you can't breathe, but there's more than that. The boiling point of water at sea level is 212F and the boiling point of water at that pressure is 59F. Said another way, if your body is at 86 -- 98.6 degrees Fahrenheit, your body temperature is enough to boil your blood. Hence, if you fly in one of these airplanes, you have to wear a space suit. And this is my favorite of all the pictures. You can see completely sealed up oxygen. They'll run in 4.7 pounds of oxygen, which is partial pressure that you get on earth. And I really like this one. And this airplane can stay up forever because it has batteries in it. This is a report we put out this morning early. Record financials. I'll talk about that. We have 2 acquisitions I'll mention, and we just signed a $55 million equity line of credit. I'll go through this in detail on the next page. The main points are our revenue set a record of $88.5 million, up from $70 million last quarter. The main thing is that we have 2 new acquisitions, Sunder, which contributed a full quarter of revenue and Ambia a partial quarter. Our operating income is a -- for the new SunPower record of $3.5 million. That's only 4% of revenue. Our target is to get to operating income to 10%. And our ending cash balance was $9.3 million, up from $5.1 million in the prior quarter. And we -- I already mentioned this, but we increased our equity line of credit with White Line Capital, that's our vendor in Southern California to $55 million on January 11. It's now signed and the shareholders have to approve it because it's an equity transaction. We've got a shareholder meeting coming up. A little bit of details. These are abbreviated preliminary financials. I don't expect them to change a lot, but I've limited to the key numbers that investors want to see based on my experience. So on the non-GAAP side over here, we jumped 26% quarter-on-quarter revenue to $88.5. On the gross margin, we had exceptional gross margin because we cleaned up some old backlog that we bought from SunPower. And the reason I put base 38% is to say that's our normal fall-through of gross margin. I urge you not to change models and put in some giant numbers, which are unmakable in the long haul. And then I'll point that our OpEx went up only 8.5% quarter-on-quarter. And by the way, we're working on that. That can get better, yes. That left us with a record profit of $3.545 million, up from $2 million last quarter. We also added $4.3 million in cash. This did not include any money from the ELOC I mentioned. This was the "natural quarter" that we had. This is a graph of our operating income. So it shows time before acquisition, time after acquisition, $0 here, massive loss for the 3 components of what turned now called SunPower, 1 quarter of loss and then now 4 quarters of profit, including a record profit this quarter. We came out of -- this is a revenue sort of a footnote. We came out of SunPower acquisition with about $80 million a quarter in revenue, $320 million run rate. The record was set in the second quarter. We got the bad news of the ITC cut in the second quarter, and our revenue dropped precipitously, but we were ahead of it with cost cutting, and we actually made almost the same profit on a lot less revenue. We recovered in the third quarter a little bit to $70 million of revenue. This number when I first showed it to you 91 days ago was $3.123 million, and it was a record. We chose because we had a lot of aged backlog that we inherited from SunPower, now completely collected, I might add. But at that time, we had aged backlog. We took $1.1 million out of this number and stuffed it into reserves. So we have reserves in the $8 million range. We've been getting our reserves so we can have some sort of hiccup in the future and not trash our earnings. The quarter we're in now, $88.5 million, primarily a large growth due to the start-ups just starting -- to the acquisitions just starting to kick in, and that led record revenue to record profit. For the next quarter, I've got a conservative estimate here where -- by the way, this shows the acquisitions, Sunder, Ambia and Cobalt. I'll talk about each of them later. I went down 4.4% in the estimate and the profit is commensurate with that. That's conservative. We believe we can make that number. But this quarter is typically the bad quarter for solar, the winter quarter, and we're deployed in the north. And then you've got the ITC uncertainty. So this will still be our second best quarter ever, even in the uncertain perfect storm quarter of Q1 '26. Okay. It was our fourth consecutive profitable quarter. So our whole year was profitable. That comes off of 4 consecutive years that the prior SunPower different company did not make money. Our Q4 '25 revenue and operating income were both records. Our 2025 revenue totaled $308.8 million. So we managed to hold the revenue and not lose it. And there are factors that can cause you to lose revenue in our business. I'll talk about that later with a profit. And that included a loss of this profit of $1.1 million in bad debt reserve we took last quarter. Our Q1 '26 revenue is expected to be $84 million, and I say it's highly uncertain. I'm pretty sure of the $84 million, but I put some slack in the writing. Our Q1 '26 operating income is expected to be positive. That's the main event. And if we make it through Q1 with a positive income, we're going to make it through 2026. I'm going to say one thing about marketing. This is the Energy Information Agency, sort of the -- one of the official places to get data. This is United States residential solar penetration. So it says that in the United States, we currently as of 2024, this report, we're 5.6% penetrated, up from 3.7% in 2020. And then here, you can see in the West, the sunny West in California, where green is in big time, the penetrations are higher. But even then, the highest penetration on the list is 15.5%. Point is I don't think about the market as being competitive like I used to with chips. Don't worry about my competitor that's got to RAM cheaper and mine or processor with more megaflops per millowatt, don't think about any of that. The market here is an ocean, infinite. And when you throw your cork in the ocean, it doesn't cause somebody else's cork to go up or down. It's just there to be taken. And that's why I am not going to talk all about ITC and speculate on rates going up and down because this is an exponential growth curve. And the reason it is, is there. Today, 94.6%, 100% minus that of qualifying homes do not yet have solar. And the price of solar, your competitor isn't confident. The price of solar goes up -- the price of electricity goes up every year, and it goes up faster than the index than any inflation index. So your competitor is giving you business. So stop thinking about do you have a hiccup, what happens with the dislocation in the market. Stop thinking about that and go take some market share. That's where my head is. This is a graph of acquisition-related increases in our sales rep headcount. So in the solar business, we talk about 1099s, meaning in the IRS, they're 1099s, meaning they're independent contractors. They don't work for us. We can't give them orders. We can't force them to domicile somewhere, and they can quit it well. And the fact is in the 1099 world, oftentimes people will go to a different company, and you'll find out about it later. So these are our reps. And the name of the game here is since you don't pay for them, you pay them only commission. They are only incremental costs, big incremental costs, but only incremental cost, you get as many as you can, okay? So now we go back to the beginning of this year, we had 1,126 reps. They all came from old SunPower. And old SunPower was in the process of a strong decline because the old SunPower went bankrupt. And a lot of the guys decided to head for the road and find a new home at that time. In Q3, we announced Sunder. Sunder was, in my mind, the most important sales company in Salt Lake, and that's Solar Valley, Salt Lake, Utah. And we brought on -- we more than doubled our sales force. Now you notice here, while this sales force was declining in Q3, the Sunder sales force actually grew. So when Eric Nielsen took over and started running sales right, better than me for sure, then the 1099s decided it was in their interest to come to work for us. So that -- this number has actually been growing. Then in Q4, we announced Ambia, and Ambia was 20 -- added 203 salespeople, and they're still with us. This is a snapshot on today, so I can give you where we are now. And then -- we've never announced this, but another company in Salt Lake went bankrupt. It's called Purolite. It had 350 sales reps that were generally considered to be really top-notch. So we created a program to bring them in, talk about it later, and we hired them. So I didn't put this on any of the financials because they're 1099s. We have now more 1099s working for us, and these guys are pretty good. And the fact is the results are producing so far are pretty impressive. So bottom line, we've gone from 1,100 to 2,000 rounded out, almost double in our sales rep headcount. Having said that, there's another headcount that matters and matters in a different way. This is our direct employee headcount. These we call W-2s, those that work for us, and we pay them to standard employees. That needs to stay stable because when this goes up to a first order directly proportional, your cost going up and your gross profit going down. So this thing goes all the way back to Q3 '24 back in that massive loss quarter I showed you earlier, you can see why there was massive losses. The combined companies had 3,499 employees. We used the ARC strategy and put -- we said we can handle 1,225 on the ARC, and we achieved that by the fourth quarter of year before last. Then we tightened our target to 980, and we achieved that. And now we're in the game of acquiring and acquiring. So we pushed up a little bit. We actually were down here, but then we pushed up. Ambia had a bunch of direct employees because they were a real company with EPC and real meat in that company. And now we've started using synergy where we have 2 of this and 2 of that to cut down and we're back down to 47. The goal is still to get to 820 after having absorbed the best people from 3 companies, all of the sales reps that want to work for us, plus the best of the other W-2 people using synergy to use the best of decision, who stays and who doesn't. Okay. If you then hold your headcount constant and grow to record revenue, then our overarching metric is revenue per employee per year. And this is a relatively crude metric, but it's not that bad. You just think somewhere between $70,000, $78,000 a year for the average employee in solar, multiply that and you got a cost and you take your headcount and you've got a major part of your cost furthermore, everybody adds other expenses. Okay. So we came out in the first quarter at $285,000. We lost money that quarter. We cut our expenses that quarter. So I'm going to tell you that this number right here, $285,000 per employee per year is our breakeven level. It wasn't in this quarter, but it is now. Then we jumped up to 360, times are full line high, then we got clobbered with our revenue going down, and we stayed at 304. That's make a little bit of money level. Then we climbed to 337 last quarter. And this quarter, we're setting a record first time we've been over $400,000 per employee per year. So there's Sunder coming in and there's Ambia coming in. And those companies brought in more salespeople and sales than they brought in people. Therefore, revenue per employee went up in each case. I'm comparing to Sunrun because I admire them. If you take their revenue of $240 billion and 11,058 employees, these are published numbers, you get $217,000. -- not a completely fair comparison because they also run the utility, right? They keep their jobs. They don't sell them like we do to some other financial company or to the owner of a house. They keep them and they're building a utility and they have the infrastructure to bill and collect it. But nonetheless, I'm very proud of our productivity per employee. And I don't know because there's not a lot of data, but I think it's probably the best in the industry, certainly as good as the chip industry was when I was in that. And final point, we have a clear line of sight to get to $0.5 million per employee per year. I can see that because we're just now starting to incremental revenue doesn't add -- I don't add an incremental lawyer to add incremental revenue. I don't add an incremental controller to get incremental revenue, et cetera. So we're amortizing overhead. This is a graph of market cap, your ratio of market cap to revenue. If you looked at it on a stock basis, it's a price per share to sales per share ratio or PS ratio. So it's the analog of PE ratio, but market cap on sales. And here, you see an interesting trend. You see SunPower, I mean, that's almost planks constant. I actually had written it here, and I got rid of it because it was too cute. It's 0.55 plus or minus 0.15. So then I said, is that good or bad? And a while back, when we were down here, I said, well, the whole solar industry is getting clobbered, and we're doing about as well as them. Well, if you look at the leader, Sunrun, they've recovered, and we have, and I'm going to address that today. that is a problem for me and an opportunity for investors because yes, you guys managed to move that thing right across my arrow. Okay. Because that's a 3x change if we can figure out the formula to get to that multiple, which is achievable. And I'll also point out that we have a high-tech index that PS ratio for 5, 6 companies is 2.2. And if you look at a company like Enphase, a solar company, they're up at 3.3. So this is still depressed as an industry, the leader should be higher, and we just want to catch up. That's my job. Okay. So why did Sunrun recover from the ITC cut while SunPower didn't. And I've listed 3 reasons here. One is cash. Last quarter in this meeting, last quarter, we reported $5.1 million in cash. And I did that honestly, so you all know where we were. And I won't say freak out, but people are going, whoa, that's not enough. So we have raised our equity line of credit. This is -- so an equity line of credit, you sign a contract, a broker agrees to have stock put on them and sell it and give you back proceeds. So it's like an ATM where you do it yourself and the proper ELOC has got professionals selling it is kinder on the market and doesn't cost any more than an ATM. So that got raised from $20 million to $55 million -- $30 million to $55 million. point here is we chose an ELOC because that's an option to raise money, not a raise. But you can raise now and you can raise on demand. And that means we weren't forced to raise expensive money immediately. So right now, that's expensive. At our share price, I think equity is expensive. So what I want to do is have $10 million at the end of every quarter come hell or high water. And then -- but I don't want to pay for that right now other than a promise to work with these guys over time, which we certainly will. We like these guys are pretty good WhiteLion. We also have 3 other funding deals in progress. I talked about these last year. I've worked on everyone for the last like 6 weeks. We've got meetings and discussions in 3 other areas, and I will be announcing things over time. Second point, we had late SEC report. Our Q3 was late. And it turned out, everybody is going, oh my God, what's going on? The old SunPower had problems with their auditor blah, blah, blah. It turns out we're just slow and not okay, but we were slow and the actual change that happened after all of that was de minimis. It was that $1.1 million I talked about, which actually ensures future performance if you look at it that way. Our financial system is currently a mix of acquired systems. And now we have 2 brand-new acquired systems, and that slows us down. We're not nimble on finances the way I'm used to it. And if you want to ask about King, talk about Intel. They report early in the quarter with the reports filed, always ready to go. That's my goal, and that's what I'm demanding from our finance people. But we go back and forth with the auditor and those cycles are long, and that's what pumped us over on the late SEC report. There was no smoke indicating fire or anything like that. But I'm tired of it. And therefore, I've hired a guy named Cal Hoagland. He's a well-known Silicon Valley financial consultant. He's worked for 20 companies. He is -- he comes in, he's an auditor himself, and he helps you straighten up your finances by bringing in his knowledge of state-of-the-art systems. In the last 3 years, he's worked for 20 companies. And his longest tenure at any one of the company has been 7 months. So he comes in, helps you fix it and then goes on to his next company. And he's been with us for a few weeks right now. And he's going to help us speed up, upgrade our financial systems. Finally, I've been talking CFO now for 6 months. I've used my own network, which I could find a CFO. I'm right here in Silicon Valley right now. But I could use my network and talk to 3 CFOs and have one in 2 weeks. But I want somebody in Salt Lake, and that's been harder for me. And we're working on it, and we have a list of Salt Lake CFOs right now, and we're doing methodical interviews. So we have a formal search going on. And finally, I've talked about this before, disinformation from financial services. This quarter, I read in one place that we were being investigated by the SEC, not true. The old SunPower was being investigated by the SEC, et cetera, and I've asked them to stop and be careful and they're not listening. And the next time they hear from me, it will be a formal demand, not -- why don't you guys -- you guys claim to show the light for finances. Work with me because I tell you how to invest. Well, if you can't get the name of a company right, what credibility do you have? So that's going to be subject to my purse strings, my next initiative. Monolith. We announced this a while back. This is the name of a solar panel. I picked the name and I actually -- we have a thing called SunPower of the movies in Salt Lake, and I showed 2001 space Odyssey done in 1968, an amazing movie. And there's this mysterious monolith that. Black monolith. You never know what it is. And the movie never tells you. Roger Ebert when he reviewed the movie back when it came up, said it asked more questions than it answers. So we called our all-Black high-wattage panel, Monolith. This is our sales conference and me pulling a thing off to also spot there through the music from -- the music from the music from the movie. What's good about it is it's -- I call it a record 470 watts. Now if you ask for -- go on your phone and say, list 500-watt panels for me, you'll get a big list. So why is 470 record? Because the real name of the game here is that OSHA enforces a weight limit and they say a panel can't weigh more than 50 pounds. And if it does, then the work limits change. For example, you need 2 guys to lift the panel and install it, disaster for efficiency. So there is in the residential area. Now you go and that's 2 square meters for the panel area. If you go into utilities, the typical panel is 3 square meters, so it's 1.5x more power and many of them are over 500 watts. But they're lifted into place by robots in a construction site. It's not apples-to-apples. I want to give credit to our partner, REC, which is the largest non-Chinese panel company in the world solar panel and actually, they're the largest in the United States for residential solar panels. And this is -- I see why we use the monolith for a word. Otherwise, I'd have to talk about our Alpha Pure-RX 470-watt panel. which I don't want to do. But I want to give credit to these guys. They're good, and we're the only one that got that panel, by the way, that they offered us an exclusive. And we're working to make the site -- I mentioned this earlier, bifacial. -- that is instead of having black plastic on the back of the panel, glass on the front, if you put glass on the front and glass on the back, then light can come in from either side. And if you can get some reflected light like the light reflected from the earth I showed you earlier coming in the back, you can get more power. Now it's not going to blow you away, but it's perfectly reasonable depending upon the installation and the place to get the panel over 500 watts just by putting glass on the back, and that's our plan. Cobalt, -- we announced on January 16, we signed a letter of intent to acquire Cobalt Power Systems. And I wrote these words carefully, Silicon Valley's premier solar company. I was around when SunPower went public in 2002. I was Chairman of SunPower. And everybody knew about Cobalt. And they made a big deal about the Monolith panels. My guys back in Salt Lake said, yes, we got some more panels. That's great. We got a lot of different kinds of panels. John Bergh called me up and said, when can I get some? I said, when do you need them? He said, now. So they got put in his parking lot just last week. And one of our first projects is going to be 111 kilowatts. So they do bigger stuff. There's a building called the Fortinet building in Sunnyvale. Sunnyvale is 2 cities south of Palo Alto, dead center of Silicon Valley. And it's an iconic building. We're going to do -- that's going to be one of our first ones. When the ITC news came out, I wrote a press release called free at last. We're free of government meddling at last. We'll actually be a free market in solar at last, and that's going to play for us because we think free market. We don't think safe harbor, buy stuff and put it and let it rot in somewhere else. We don't work like that. We do what's best for a business. And I said we would take advantage of the free market because we know how to behave in free markets. And we have 2 goals, and I've already shown them to you, to rapidly grow our rep sales force as big as we can and to upgrade but not grow our 847-person workforce. And by the way, every one of them is an option holder. So that's a little piece of Silicon Valley that we brought to Salt Lake. Now I can introduce John Bergh. This is a picture. He has a house in Santa Cruz, and this is a picture of him, self-made man. His dad had a water well business and died and he got yanked out of college in his junior year to take the family business. He started working on solar thermal collectors. This is solar energy focused to heat water, worked his way into understanding PV. I knew about him at SunPower. He started the salesman and walked right through up to the Silicon Valley regional sales manager, arguably the most important sales position in sales other than maybe one of the biggest companies in Salt Lake. He went to work for Qcells a Korean manufacturer that sells a lot of panels in the U.S. and he was business development, selling at a high level using technology, biz dev, $336 million business. He used his own funds to buy Cobalt systems. Cobalt was well known. He bought it how long ago? 18 months ago. And it's been exploding right now. It was always a $25 million business. This year, they did $33 million. And he invented a cobalt concept and that I call sales system designers. One of our companies, Ambia, had a concept that made us more efficient. And their concept was a salesman who sells at a house needs to do the site visit. The site visit is the next thing. Normally, some salesman or seller sells the home, then you go in and do a site visit, and that's when you take pictures of all the wiring and everything and so you can create a plan for the house. And Ambia asked their sales force to do site visits, they eliminated a whole step in the process, shortened down the process and also obviously made it more efficient. These guys have gone one step further. They are salespeople that are called system designers, they can design things. So they can go into some Mogul's house in Silicon Valley and put together a big system, which requires more elaborate and detailed plans than a simple retrofit on a suburban house. He's also an athlete and a coach, youth sports. And he's going to run Cobalt, which we are going to run due to fact he runs it. I've been there. I was there for their company, Picnic. It's got great it's free to core, and they're far away, except not for me, so I can meddle as frequently as I want. John, you got some words for us?
John Paul Bergh: I do. Excited to be here. I've been involved with SunPower since late 2006, where our customers had to wait 6 months to get panels. Well, now they don't have to wait 6 months, and they don't want anything that's safe harbored and waiting in a warehouse for 2 years. They want the newest technology and they want it deployed, and they want to deploy it on their house now. Cost of electricity is going up. But what Cobalt Power Systems really represents here, and it's a different type of acquisition for Mr. Rodgers and Mr. McCranie and his team is we represent a differentiated scalable revenue vector for SunPower. So we're uniquely positioned to integrate sales origination, operational execution and next-generation renewable energy technology deployment, all within a single platform. So together, our combined capabilities, as TJ has mentioned earlier, with the sales capability, I mean, right now, we've got a dozen system designers and they're top notch, they're top tier. But having access to 1,800 or over 1,800 sales reps, that plays right into our position. So together, we can address the full spectrum of demand of the market, spanning residential, new home construction, multifamily, light commercial, large-scale commercial, industrial applications, including up to large-scale data center power infrastructure. By operating Cobalt as a focused subsidiary within a publicly traded enterprise, SunPower unlocks a multiplier effect, unknown or unseen in the market. It's got efficient access to capital for a company like Cobalt. Its workforce scale and its institutional resources as a publicly traded company will allow us to scale, grow and meet the market demand for renewable energy power. It takes 5 to 7 years for a gas turbine to be installed in one of these units. They need power now. They need solar, they need wind. They need infrastructure and execution, which we can provide. Cobalt brings a proven track record of building, operating a profitable business unit, which is unique in solar. It's positioned to deliver meaningful, sustainable profitability while accelerating the deployment of industry-leading energy solutions to end users at scale. That's why when we first got our first shipment of Monolith last Friday, we have customers that have already oversold. We already oversold our first container. So we're getting our second container. They want the most power dense module. They want to use the best parts of the roof. Why? Because they have EVs. They have complex energy demands that are requiring more electricity. We're here to serve that function. But quality, quality is at the foundational standard and it always has been with SunPower. Quality, technology, that's the core of our platform. And now with TJ and his team, we have the disciplined execution at scale that will reestablish SunPower and establish the new SunPower in a league of its own over the coming months and years. So I couldn't be more excited.
Thurman Rodgers: Thank you. So you said out what should I do? And I said, just tell them what you're planning on doing and being enthusiastic, and he did that. Okay. I want to talk about our other acquisitions for a minute. We talked about Sunder, I told you before. Sunder sales company, they're 6 years old, accumulated a lot of sales. Eric Nielsen is their Co-Founder and President, and he's now the EVP of Sales and Marketing for the whole company and all the sales guys, except for a small group in new homes that sell to corporations that build projects work for him. And he recently created options so we can attract 1099s to stock options. And this is not unique to us, but it's relatively new and it's a formal program. And this is going to be part of our get as big a sales force as you can. As Cofounder is Max Britton, my favorite story about him is he was a tank commander, Abrams tank commander in Iraq. And then after he got out, he signed up and was -- another -- for another service. So he calls me, yes, sir, my new name, not T.J. anymore. And he's running the Sunder sales division. And that means Sunder is going to sell sales that is they're going to do contracts with customers, create final contracts that are, let me call them, almost bulletproof and sell those. And those things are worth $10,000, $12,000, $15,000. And they're going to keep that business going. So there's a higher velocity of sales going through our company than we're actually installing, meaning we can keep double loaded all of our internal capacity so that we don't have ups and downs with installers, for example, working half the time. And Devon Glassman is their first employee. He's a lawyer MBA, and he's the sales ops for the whole company. And this is -- I picked one slide to illustrate. This is us before. This is us before, and this is us after Sunder. I showed light coverage in the Sun states. Now we have heavy coverage in the Sun states, and we are in 45 states. That will make a difference. The next acquisition was Ambia. They're an $80 million company, and I got a couple more stars out of that. Conner Ruggio is their Co-Founder and CEO. He is an ultramarathon athlete, and he's running our SunPower Direct, which is all of SunPower except for new homes and sales. So SunPower has now got 3 parts, new homes, direct, which is all of the start-ups merged together and sales, which is the selling of orders, not the installing of product. And he's got an excellent COO. I'm an operating guy, right? So I know if these guys are good or not, and he's really good. And the same is Spencer Jensen. And he's running direct operations for the largest part of the company, and I'll show you what that means shortly. We just acquired them. So I threw in 2 slides that they [ blurred me ] with. This is the revenue growth, and it shows they actually spun out of SunPower and they did spun out of SunPower and then they came back to sort of put us back together. And then they had a very successful run up to $80 million level in 2025. And they're bringing back that expertise on the operating side that will make us better as well. They -- when we decided it would be in the Argonaut, we picked Blue Raven, a subsidiary of SunPower, and we shut down 2 other manufacturing groups. And now these guys have come in and they're running our manufacturing for direct, which is our biggest part because they took Blue Raven to the next level at their company, Ambia. Also one thing, it may not mean anything to you, but if you're in my business, it's the world, this is cycle time. So what this says is the 50th percentile median cycle time in days for various things. So from the project received to permit submitted, 7 days [ span ] they get out of the blocks. Project received installation complete put it in 41.6 days. And then we go through getting inspection, that's the city to say, okay, you're approved and PTO that has to get the utility to say, okay, you can hook it up. And all of these are exemplary numbers. And what's even better is even their ugliest numbers are pretty good. We won't be have stuff hanging out that didn't get shipped before the end of the quarter. And I'll just point out that this is 15 days faster than SunPower. And in turn, SunPower was faster by weeks than the other 2 areas that I shut down at the original merger. Okay. What are we trying to do? Zoom up a little bit. The goal is consistently profitable growth from our current $300 million level to $1 billion in 2028. If you do $1 billion divided by $300 million and take it to the [ $0.33 ] power, you get 50% per year. So that means we have to have inorganic growth as well as organic growth to do that. Here's an example from the latest quarter in Q4, we did $88 million profit. We now have 111 million shares fully diluted. Our price to sales ratio still sucks, just I told you that earlier, and our share price, when I was finishing the slide this morning and pushed the button on my phone, and that was a number I got. We have a plan. This is like the ninth revision of the second major plan. And here, we're growing to $250 million. That's a $1 billion run rate. We're going to spend some more stock, but not a lot more. We're pretty much acquired what we need to acquire. If our price to sales ratio gets to 1.72, I showed you that calculation earlier, that's 554. That's a 3x. And that's a bogey for, I'll say, just becoming confident [ Vision ]. So who will we be, who will care. SunPower will again be recognized as #1 in solar by introducing advanced technology hardware and software controlled solar. Now this -- if you have the best hardware, then you're going to get jobs you wouldn't get otherwise. But it's not dominant like the old SunPower had dominant panels that nobody could touch. The new world is going to be software-controlled solar system products, meaning everything is smart, everything has a compatible computer and language and everything is a compatible bus. And that doesn't mean WiFi or any bulls*** radio. It means wires and the cheapest, most important wire to control things that you care about is called CAN Bus. It's the wire that connects your brake pedal. You think it's actually connected your brakes. It's not wire that connects your brake pedal to the calipers on your brake and your steering and [ PAM ]. So we have ARM computers and CAN Bus that work with everything, meaning the panels themselves as the Enphase inverter, the battery, that's the Enphase battery, which has, by the way, the same inverter in it, and you can run it forward to charge the battery and backwards to discharge the battery and it talks to the other inverters in your panels. And then in the garage, you'll have an EV plug and that EV plug will have the same hardware in it. So your electric car talk to your battery and do what's right for you at that time and your battery can talk to your panels to do what's right and your battery knows when it's high and low price time because that's all downloaded from the cloud in your battery. So software control true systems, not hack together somebody's panels and somebody else's batteries. That's the future. So what are we doing about the future? I already told you about the panel. I told you about the bifacial panel. The next level of cell is going to be Perovskite-silicon. I'm on the board of 2 companies that are working on Perovskite-silicon, not ready yet. That's why I put a warning out here, talked a lot. Then there's Enphase inverters, the IQ8 is the first inverter in the world to allow sunlight backup. If you have no battery because you don't want to afford one now, when the sun rises, it will freeze your freezer for you and your freezer won't melt with a 3-day outage. Just by having a solar system with an inverter. It's not perfect, but it's way better than a normal solar system. Their IQ9 inverter uses gallium nitride and it starts providing high voltage for commercial applications. Gallium nitride transistors instead of silicon transistors. And then there's the electric vehicle, the zero carbon. There, you can tell your system in your cell phone, and this is deployed. I want my car to be charged only with solar electrons. But why would you do that? Because if you're green, you live in California, you bought an electric car. And by the way, I can almost throw a rock and get Tesla from where I am right now. You bought your electric car because you didn't want to burn oil. And then the problem is the electricity you put in your car burned oil or gas in order to make it. But if your electricity comes from the sun, it didn't burn anything for anybody, and you actually start can commute to work in a nice car without using any oil of any kind. And that -- maybe you're not jumping up and down about that, but I guarantee people here in California will jump up about it, and that has just become available like in the last quarter. And then EV battery for backup. The flip side is if I charge your car with green electrons, when will I be able to take those green electrons out of your car and have a massive battery, 10x bigger than a typical solar battery that I have for free, not always there, but I have for free. So I'm an R&D guy. So I don't talk about futures. These are [ now, no, no, no ]. And this is what is going to differentiate us in advanced technology hardware and software control solar system products. This is our plan, the long-range plan is a work in progress. But you can see here, we have 3 divisions, SunPower Direct, this green is the big one. I told you that earlier. That's all of SunPower, except for Sunder, who sells only contracts, including to inside contracts to our divisions and New Homes, which sells to corporations and also as a procurement management system that can manage other installations where we can get credit for everything by using partners, not internal people. So that is the new organization of SunPower. We just did a $309 million year. I haven't promised a word yet about 2026 because I want to find out what's going to happen this quarter. But it's a number looking like that. There's 2027, there's 2028. So this I call, by the way, G stands for God and the implication is if you don't make the plan, the [indiscernible] falls on you. And I'm the agent of the lord in this particular case to make sure that people believe in the plan. So right up to here, I've made promises to investors, which I consider to be sacred. I want to point out to you that from this point on, we're still modeling and you will see upgrades of this over time. In the plan, I just want to tell you that currently a 4% op inc. This is the quarter where we see 8.1% op inc. And this is a quarter where we see revenue of [ $250 million times $4 billion ]. So this is a plan which if executed already can move us into our mission statement, and we're sitting back here all the way back here. One more point, cash, again, telling you where we are. So we have cash in the bank. We have an ELOC to feed the cash in the bank. We have made a promise to investors that we're going to have minimum cash of $10 million. That means if we have to raise cash in the quarter, we'll raise it to $10 million in stock or if we have cash flow positive, cash will go above $10 million. So this is what our plan looks like. This is the quarter last quarter people freaked out about the low level of cash. We're back at the $10 million, and this is in Q4 of this year, our plan says we're going to be cash flow positive from operations and fund the thing. In order to keep this up, this is being supported, we have 2 raises $17 in this quarter and $29 million in this quarter. So that is our cash need to cash flow positive to [indiscernible] [ $46 million ]. I just out understand that, I think. Okay. Next quarter is going to be $84 million, it will be our second best ever quarter. We're going to be down "only 4%." We expect the industry to be at least 10% and maybe 15% or maybe even more down. So we expect to gain share. We're going to have operating profit, and we're going to have that for every quarter. That's our expectation. I didn't promise every quarter of 2026. I noticed I didn't put my lawyer [indiscernible] in that sense. Cash. We have a vehicle now to keep cash above $10 million and 3 more deals pending, which you'll be hearing about this quarter as we finalize it. That's it. Ready for questions.
Sioban Hickie: We will now begin our Q&A session. [Operator Instructions]. Our first question today comes from the line of Derek Soderberg at Cantor Fitzgerald.
Derek Soderberg: So T.J. You just touched on your vision for becoming an advanced technology solar company with software controlled systems. I guess from the investors' perspective, why is this the most sustainable, profitable model for resi solar and commercial? And what's sort of the most exciting part of the business as things have sort of come together on the sales front and the hardware front? What's the most exciting part of the model as the business sort of comes together here?
Thurman Rodgers: That's a really good question. I had an analyst, a really well-respected analyst the other day asked me, why do we need a national company? Why don't guys and pickup trucks in different cities in the United States, why can't they be solar? And the answer is if all solar is driving to your house and installing something, anything, aluminum siding, then you don't need a national company. But these systems I just talked about, think about the intelligence of a system required to know what the weather is, to know whether to use or store current, to know whether or not to store current or charge your car or both and to change that as the cloud goes across the sun. Guys can pickup trucks aren't going to do that. That's hard. And if you look, the basic thing is Enphase inverter, it looks like a VHS tapes that thick and this big. And the intelligence in that and the hundreds of man years of time in creating it mean that the other guys can't copy it. It goes back -- [ SunPower ] enjoyed an advantage with the most efficient solar panels in the world. And they had that for decades. And then it went away because [ China Inc. ]. We had an automatic line in 2002. [ China Inc. ] then started automatic lines later and they went through 8 generations of automatic lines, now they're caught up. So now a panel, which is itself an engineering work of our after 2 decades and a huge amount of investment has become something [ new ] is commodity. Cars are commodities, and they're amazing in their engineering anyway. So systems, we all know that investors like software companies. We all know -- give you one example. Hawaii has got different rules in California than Massachusetts for what you have to do in various solar events when you hook up just an ordinary solar system. What do you do about that? The answer is we download -- Enphase downloads a program into their system that not only puts you in Hawaii, but keeps up with the Hawaii legislature every time they change it and only other venues for it. So it's that kind of best of facility where you're writing software for given hardware. And then you have the best hardware, too. I'm not knocking that, that will differentiate. And that's why you need a national company because only a national company can be big enough to afford that -- to have partnerships that matter and afford that kind of effort.
Derek Soderberg: T.J., who's going to be facilitating the software piece of the business? You had mentioned that a few times today. It feels like there's an opportunity there for you guys now that you guys have a full hardware offering, nationwide sales team. Can you upsell software? Can you be a part of the recurring piece of the business? Is there a software angle to this at all?
Thurman Rodgers: Sure. Do I have a software group first of all, I'm not a software guy. I have dozens of software guys, but I don't think I have a group to create the vision I just described. So right now, we can't make panels, but our partner, [ RAC ] is world-class at it. We can't do software systems. We certainly can program and install them and define them. We can't do that right now in our partners' Enphase. So partnerships at our level matter. And I think if you look at any industry, Boeing doesn't make jet engines. Somebody else Pratt & Whitney, for example, Rolls-Royce makes jet engines. It becomes very hard to do it and you partner. And that's what we're going to do, but we're going to be cognizant. We're cognizant today of what you have to do.
Derek Soderberg: Got it. That's helpful. A couple of clarifying questions. The $84 million guidance with $4 million of uncertainty, is the way to interpret that as $80 million of high likelihood revenue with $4 million that's uncertain? Or is the $4 million potential upside to guidance?
Thurman Rodgers: So I feel like there's a little box being put here and then another little box being put here and then I'm starting to look up and there's a little lid going on there. I'll be honest with you, that number 84, I invented that number the other day, so I could be sure of it. And then I checked with the people and they said, we can be sure of it, and it's a little bit less than our actual internal plan, which will determine their bonus.
Derek Soderberg: Got it. Got it. And then on operating expenses, they were up 41% sequentially on a GAAP basis. What was the reason for this growth? Was there kind of onetime stuff associated with you guys going out and selling some of that backlog? Can you help us understand maybe looking forward, where we should sort of expect the operating expense run rate to be kind of in Q1, Q2? Anything to help us kind of model that for '26?
Thurman Rodgers: Okay. Our operating expenses are not emphatically up as much as you just said. You said they're up on a "GAAP basis." Well, what the hell does that mean, okay? -- up from 35% to 49%. I showed you our OpEx less commission is flat, almost flat. It's 8.5% quarter-on-quarter. The difference is shown here. It's one GAAP -- non-GAAP thing I show. The OpEx has stock compensation built into it. So when you report OpEx, your people cost so much. And do you cost what you pay them plus their benefits? Or does it cost what you pay them plus their benefits plus the cost of their stock option is it best. I have a name called SunPower. I thought I bought it at a bankruptcy option in Delaware. It turns out once I bought it, then I got told you got to put it on your books and depreciate it. So I lose money every quarter because I have the name SunPower, et cetera. If you want to look at OpEx, look at that line right there. I also take out commission because commission -- commissions is like 30 -- best case I've ever seen is 26%, and I've seen as high as 36%. So if you want to look at OpEx, you subtract out commission, you subtract out intangibles like I have been describing, and that's the real OpEx, and that's under tight control. I review our headcount twice a week, and there is no slop there, no onetime events or anything. There's distortion in accounting mandated by law.
Derek Soderberg: Got it. That's helpful. And my last question, T.J., the silver price has been going up. That's a key component in solar panels. There's some concern on potentially physical supply. Do you view that as a risk for the industry?
Thurman Rodgers: No, I think panels will be a washing panel. So I didn't buy any safe harbor panels, and we had a little squeaker there at the end of the year because everybody was scrambling to buy solar panels, so they could tack a couple of them up on houses here and there and then declare that they still got the subsidy. So they were running their company by buying excess inventory that they didn't need because of a government distortion in the market. That's what I mean by 3 markets. That's one example. So we didn't do that. So right now, everybody bought all those panels and they're sitting all over [indiscernible]. The fact is later in the year for my economy system, the lowest cost system, I plan on buying those panels at a steep discount to the guys that are listening to the depreciation clock in their warehouse as the panels are worth less and less over time. There are dozens, literally dozens of panel plants being built in the United States. As we speak, there's already a bunch of -- so to get by the tariffs, many of the Asian companies have -- they'll make their solar cells offshore. They'll import solar cells much lighter, much smaller air freight come in fast and then put them in panels, heavy, big machines in the United States. And there's way more of those plants being created right now. The panel business is a no-profit zone. You do not want to be involved with it. You want to be taking advantage of the excess of supply. And that is we're already there this quarter, there will be an excess of supply.
Sioban Hickie: Our next question comes from Gus Richard from Northland.
Auguste Richard: I was just curious how you guys are doing converting Sunder sales into installs and sort of where that is and what you think the trajectory will look like?
Thurman Rodgers: Can you say that one more time? I'm not sure I got it.
Auguste Richard: So I was wondering how you're doing on converting the Sunder sales into installations and what that trajectory might look like?
Thurman Rodgers: You guys wanted...
Unknown Executive: We've got 2 positives going on with Sunder right now. First off is their fundamental 1099 force that they brought us in, in late September has moved up dramatically in total bookings. Secondly, T.J. was telling me about 5 weeks ago that we brought in about 350 Purolite guys. We brought them in at the very, very end of 2025, and we've been expanding in 2026. Those guys have already produced significant bookings in the first 4 weeks, we have over 100 strong bookings. We have another 350 that are in the front end of the booking channel. The way it looks for us right now with Sunder is that we're going to have a larger revenue than we currently are forecast as a result of the rapid expansion in 1099 sales force at Sunder. So we're very pleased with that part of residential retrofit. That's working very good for us.
Thurman Rodgers: So let me -- this is a controversial issue, which I talk about 5 days a week. And the reason Eric Nielsen is a better VP of Sales and T.J. Rodgers or his whoever your points is that Eric understands these guys the 1099s and I don't. And I'm a bit of a do what's right for the company, do it with disciplined kind of guy. But in order to keep the 1099s, Eric gives them a work environment that they appreciate. And I supported that with stock, but there's other things. And one of the things they get is they get to poke whatever button they want for which EPC that is installer gets a job, okay? Right now, they can poke 26 buttons. SunPower Direct us 27 button, SunPower Direct us, SunPower New Homes us and then 25 EPCs that are literally our competitors. And I can tell you right now -- and then how do they do it? It's real simple. They keep poking the button until they see the biggest number, then they poke that one, and they're not forced to give the job to mom. So right now, the results are good, and I agree with Dan, and I agree with the upside. Right now, I'll tell you that the contribution of Sunder directly to SunPower is single-digit percent, mid-single-digit percent and it's on its way to 35% over the year. How do we do it? Why -- first of all, why don't they do it? The answer is if T.J. sends out and marathon says, do this, then they go away. So T.J. doesn't do that, and he lets Eric run the show. Why don't they do it? Well, you saw that map. That map went from a strike to the United States. Well, guess what? They now sell in places we can't install. We never had installation there. So we've got to build up some install over time and start taking jobs in states away from the local guys that they give the job to. Flip side is also tree. We have installers in some states where they can't supply all of the jobs. And they're now working on building up the sales force in states where they have jobs. So we're like building a roof and a floor that don't overlap right now and will overlap. And that will raise a percent over time. So the good news is our results don't depend on yet huge fall-through. Where is it going at the end of the year? 50% will go either to direct or to new homes. So that's the ever supply of orders that I'm talking about that will keep those organizations level loaded all year long.
Unknown Executive: And finally, just the Purolite acquisition of 1099s moved us, expanded us into states where even Sunder wasn't particularly strong after the acquisition. An example of that is the Northeast and in particular, the Oregon territory. Those are target rich for TPOs. We were fair encouraged there. And now with the Purolite sales guys, we are very, very strong. So I'm feeling very good about retro residential sales and retro residential bookings for 2026.
Thurman Rodgers: You talked -- I talked about the original SunPower sales force declining partly due to bankruptcy. It's also partly due to the fact that the original SunPower sales force sold a lot in the Midwest and in the Midwest guys are like me, they write a check, they get it, they own it and they get all the savings of the power from day 1, and they're paid back a lot earlier. That's not true in California, third party ownerships and finance company comes then, press the deal, makes money on the money. So their money comes in and they've got to make higher percentage. But my pitch for a loan or cash is here's the calculation. If you pay this much cash, utility bill will go down next quarter like that and you start adding up utility bills over time within 4.7 years, 5.3 years, whatever, the sum of your savings on utilities will be more than what you pay, okay? and that's the pitch that T.J. would buy. Pitch in California is more California. Oh, you can have solar. Sure. We'll put it on your house. We'll do it for free, no money out of your pocket. And then by the way, we'll pay your first few payments for you. And then all you do is pay payments. And by the way, there's a calculation showing your payment with solar will be less than you would have paid anyway. So there'll be no money out of pocket to begin with, and you'll be ahead every month after that. If you like some solar. And that's a switch to TPO, third-party ownership or a financing company or another solar company like [ Sunder ] owns the system and has an intent to make money on money. That -- and that was what was wrong, not wrong. That's what is a difficult change. It sounds like, okay, sell this one, not that one. The pitches are quite similar. You're knocking on the same doors. It turns out it's not a trivial change. And [ SunPower ] sales force had issues with that. And these new sales forces we acquired are TPO-friendly sales forces. They were already there. Those companies became big and famous because they saw the TPO thing before we did, and they were already there. Now we're working together.
Auguste Richard: Okay. Got it. And then just on Cobalt, I just want to make sure I'm clear. It sounded like you do utility scale and industrial size installations, you mentioned data centers. And I'm just wondering sort of how do I think about the markets you address ready industrial, utility scale and kind of how big a system kind of sold at this point...
Thurman Rodgers: Go ahead.
Unknown Executive: Sure. Well, we've been limited because we are a small private company, but we have the expertise and we have the execution history of installing multiple megawatts. We've installed 12 megawatts in Port of Stockton. We've installed -- we're installing right now, just finished up a 1.4-megawatt project in Santa Clara University. Those 3 phases at a superstructure carport. We're just finishing up the Los Altos Golf and Country Club, that's got ground mount. It's got a carport structure, and it's also got on the main club house. So we have the expertise to install systems with complicated voltage requirements, step up, step down, switch gears, modifications, and we do all that in-house. So we have the in-house expertise and the technical expertise to do it. We just haven't had the market capitalization to grow that across the country. And now with a publicly traded company behind us, we can achieve excellence and execution at scale.
Thurman Rodgers: And for me, we're in Silicon Valley right now, and I'm a Silicon Valley guy. And one of the things I missed a lot with the sort of standard solar mindset is that it's becoming commoditized. Like I said, it could be aluminum side and all of a sudden, engineering matters again, scale matters again. The plans you have to -- guess what? The plans I submit in Austin, Texas to put 5 kilowatts on your house are pro forma. As a matter of fact, many of the planning commissions actually now have online and you can even do 1-day planning. In Palo Alto, California, if you want to put in a megawatt of solar, you're dealing with the city of Palo Alto, a formidable task, I'll just tell you. And that means you have a capability that is beyond what you had before and you can study it and understand it, marketing. I just said it. I just watched their marketing. And I'm going to start sending groups. I've got young marketing guys in Salt Lake. I'm going to start sending groups to 3 or 4 of them through the marketing guy. It turns out during the summer, he used to do movies down in Southern California at UFC to make money. And he knows how to do movies. He knows how to do ads and his group is the size of one guy. We're going to learn from that. And they're going to learn from us. We're going to have a lot more panels flowing. So when we negotiate the price of the panels, we're going to be looking like a volume company, not like a company that is local and modest in volume. The answer is I don't know the synergies yet, but I study and watch things and I'm not jerking around either side, and I'll optimize as I see what's the best way to go.
Sioban Hickie: Gus left the line. We do have a couple of quick ones from the online audience. I'll start off with one quick one for me, asking about our conference schedule for 1Q, just so everyone is aware. We will be at the Jefferies Power, Utilities and Clean Energy Conference in March, the first week of March in New York City. March 11 in New York City, we will be attending the Cantor Technology and Industrials Conference. And then on March 12, we will be involved in the virtual Canaccord's Sustainability Summit. In addition, we'll be doing some NDRs and fireside chat. So please reach out if you have any questions about scheduling. One quick question from the line. You've discussed New Homes progress, which will be material to growth in 2027 and forward. Can you discuss the progress on rebuilding that pipeline today?
Thurman Rodgers: Okay. So -- [ for many guests ] it is [indiscernible] so we have the VP of that division here. This is the 3-year plan quarterly plan I showed you and New Homes is here in blue. So if you look at New Homes, they are going [indiscernible] problems right now because it usually [indiscernible] to be minimum in Q1 and then build back up so and that is because when [indiscernible] SunPower will bankrupt, all of the corporations [indiscernible] quarter. They all canceled their contracts and that was it and we started rebuilding. So what's your plan, got to get in, right?
Unknown Executive: So today we are set up for 2026 to regain share going from about $45 million in our bookings, which converts at about 97% rate to growing to about $110 million in 2026. This gets us back to the [ 20, 22.3 ] average rate of about $125 million a year. And in addition to that, we are also partnering with additional dealers who are engaged [indiscernible] working with other companies. So we are accelerating in New Homes. We are also accelerating in multifamily, which Cobalt is going to add to that portfolio, including our C&I space. So the New Homes business is feeling very confident about what we're going to deliver in '26, establishing a very clear fillet, another layer on top of our total SunPower revenue in a proper fashion.
Unknown Executive: Can I add just a little bit of color to that? So as [indiscernible] said, our plan is over $110 million in bookings this year, up from $40-plus million last year in 2025. Remember, there's a 5- to 6-quarter lag between bookings and revenue in New Homes. So the numbers you see us booking right now are going to be reflected in very strong revenue growth in 2027. On top of that, our pipeline, our opportunity pipeline has grown nicely as we continue to expand our sales organization in New Homes, and we're feeling more and more comfortable as the quarters go on of our ability to meet and beat that $110 million. Finally, you may want to ask yourself, what was your all-time best numbers in New Homes back when the old SunPower was around. And I believe [indiscernible] in the neighborhood of $50 million to $60 million quarters. So if you want to think about what the upper end of what you can accomplish once you rebuild your new home organization, think in terms of $50 million to $60 million quarters as opposed to the $10 million quarters we did this year and the $25 million quarters we're currently on track for $30 million quarters we're on track for in 2027.
Thurman Rodgers: As long as you got the camera on the front, Will, what is the theory behind your new company in the finance world?
Unknown Executive: Well, so the opportunities to bring margin across the value chain include being able to install very rapidly, installing the right equipment and then financing it in the proper way. So with the primary source of financing today is going to be power purchase agreements and leases. And this is because the income tax credit -- the incentive tax credits for solar are still available for going solar in that method for residential. So we're bringing all of these things together with partnerships with companies like LightReach is a major partner of ours on the finance side, Enphase and the other partnerships that T.J. has already mentioned and then incorporating rapid installation like with what we're working on with same-day Solar is going to make the process smooth and simple for the customer, even though on the back end, we're managing all these complex partnerships.
Thurman Rodgers: Sorry about that. Is it...
Sioban Hickie: That is it. That ends our call for today.
Thurman Rodgers: Thank you for tuning in. We appreciate your support.